Operator: Good morning and good day ladies and gentlemen. Welcome to the Cineplex Inc. 2015 Third Quarter Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Pat Marshall, Vice President of Communications and Investor Relations. Please go ahead, Ms. Marshall.
Pat Marshall: Good morning. Before beginning the call, we’d like to remind you that certain statements being made are forward-looking and subject to various risks and uncertainties. Such forward-looking statements are based on management’s beliefs and assumptions regarding the information currently available. Actual results could differ materially from those expressed in the forward-looking statements. Factors that could cause results to vary include among other things, adverse factors generally encountered in the film-exhibition industry, risks associated with national and world events, discovery of undisclosed material liabilities and general economic conditions. I will now turn the call over to President and CEO, Ellis Jacob.
Ellis Jacob: Thank you, Pat. Good morning and welcome to Cineplex Inc.’s third quarter 2015 conference call. We appreciate you joining us today. I will begin by providing a brief overview of our third quarter results as well as a summary of our key accomplishments during the period. I will also highlight a few of the most anticipated films for the balance of 2015. At the conclusion of my remarks, our Chief Financial Officer, Gord Nelson will provide an in-depth overview of our financials. As always, once Gord has concluded his remarks, we will hold a question-and-answer period. I’m pleased to report that Cineplex had another strong quarter, setting third quarter records for total revenues which increased 9.8% to $328.2 million and adjusted EBITDA which increased 23% to $59 million. We also established new third quarter records for all revenue sources including Box Office revenue that increased 6.1% to $172.6 million, Food Service revenue which increased 14.5% to $105.5 million, and CPP of $5.43, which was up 6.3% versus the same period last year. Media revenue also increased 7.2% to $34.3 million, and Other revenue increased 29.1% to $15.9 million. Attendance increased 7.6% to 19.4 million guests. Overall, it was a successful quarter and we’re pleased with the results. Now, let’s take a look at our key accomplishments during the period. The expansion of our premium experiences remains a strategic priority for Cineplex. As a result of the mix of [indiscernible] towards family products and a lower percentage of 3D movies, our box office from premium offerings declined from 41.7% last year to 34.5% in 2015. During the quarter, we installed D-BOX motion seats into five theaters, bringing our total to 30 locations. Six more systems are scheduled to be installed across the country throughout the fourth quarter. In December, we will add VIP cinemas to our Yonge-Eglinton location which will be renamed at that time to Cineplex Cinema’s Yonge-Eglinton MVIP. In early 2016, we will celebrate the opening of our newest theater in the Marine Gateway area in south Vancouver. Marine Gateway will feature seven traditional screens, UltraAVX and three VIP Cinemas. Switching to food service, we set new third quarter records for CPP and food service revenue. CPP increased 6.3% or $5.43 versus $5.11 in the prior year. This is a new third quarter record and second to last quarter’s all time record of $5.50. The growth was driven by the increase in transaction size, successful summer promotional programs, expanded offerings outside of core food service products and growth in our VIP business. We continue to focus on the expansion of our proprietary food service offerings during the quarter, opening six new locations for YoYo’s Yogurt Café in our theatres. Throughout the remainder of 2015, we will continue to grow both our core concessions and proprietary offerings by refining and expanding our menu offering, implementing targeted marketing and promotional programs and leveraging the flexibility of our digital menu boards. Now onto our amusement gaming business, earlier this year we announced plans to launching new social entertainment destination called The Rec Room. The first location will open in the spring of 2016 in South Edmonton Common. During the quarter, we announced plans to open Cineplex’s second location for The Rec Room in Calgary, Alberta. This will consist of a 50,000 square foot dining, entertainment and amusement gaming complex which is currently scheduled to open in December 2016 Deerfoot City formerly known as Deerfoot Mall. We have a number of additional locations under negotiation and expect to announce things in the weeks and months ahead. We also added two new XSCAPE Entertainment Centres to our theaters at our Galaxy Cinemas in Peterborough and Lethbridge. Subsequent to the quarter end, on October 1, we completed the acquisition of the remaining 50% of issued and outstanding equity of Cineplex Starburst Inc. This makes Cineplex the sole owner and one of the largest distributor and operator of games in the amusement industry supplying and servicing games at Cineplex theaters in Canada as well as amusement centers across North America. CSI also owns and operates premiere amusements, a US-based gaming supplier that services over 200 family entertainment and amusement venues across 24 states. And Brady Starburst LLC, a US-based distributor for amusement and vending equipment that provides a wide range of diversified services to the family entertainment centers throughout the United States. In September, we announced our plans to enter the world of eSports and acquired an 80% interest in the operating assets of WG Limited, a leading online gaming platform. Together, we’re creating a community that connects live online gaming with unique in-theater gaming experiences including leagues, gaming ladders and tournaments for the competitive gaming community. We believe we will transform eSports in Canada, and expect to announce details of our first tournament soon. We also believe this is an opportunity that we can export to our exhibitor peers in other parts of the world. Our media business also experienced excellent growth in the third quarter, increasing 7.2% compared to the prior year period. Cineplex Media revenues increased 11.4% as a result of strong show time advertising sales, particularly from automotive sector. Our top three advertising categories in the third quarter represented 37% of total spend, led by automotive and then followed by the wireless telco and electronics technology sectors. Subsequent to quarter end, we were very pleased to learn that our Cineplex Magazine is the number one most read magazine for all demographics under 50 years old and became the number two most read magazine in Canada, according to new reader data research. Congratulations to the magazine team on this great news. In our theatre lobbies we have installed an additional eight interactive media zones this quarter, completing our circuit of 46 units across Canada as of September 30. Our digital poster case rollout is now complete and this is also adding to our overall media revenues. Subsequent to quarter end, Cineplex Digital Networks announced that it has been selected by A&W Food Services of Canada to become the sole provider of digital menu boards for its over 800 corporately owned and franchise restaurants across Canada. Signage installations have already begun in some locations. We continue to make strides in growing our digital media business both on the path to purchase and at the point of purchase and see this as a significant growth driver for the future. Overall, our media businesses continue to be strong both in theater and in the digital out-of-home space. Our digital commerce offerings maintained their momentum this quarter. Cineplex.com now reached 16.9% of Canadians online. The site registered a 16% increase in unique visitors and a 28% increase in visits versus the prior year period. The Cineplex mobile app has been downloaded more than 12.8 million times as of September 30, 2015, recording over 708 million app sessions, making it one of Canada’s most popular mobile brand with 11% penetration of the Canadian mobile market. At the Cineplex Store, we grew unique visitors by 31% as compared to the third quarter of 2014 and launched Cineplex Store gift cards in Costco locations nationally. The Cineplex Store supports the widest range of streaming devices in Canada to watch and enjoy content. Moving to SCENE, the SCENE loyalty program continues to grow its membership, adding approximately 300,000 new members to finish the third quarter at more than 7 million members. During the quarter, we expanded SCENE loyalty program benefits enabling members to now earn and redeem points at 8 CARA Operations Limited restaurant brand. These include over 800 restaurants across Canada, such as Swiss Chalet, East Side Mario’s and Milestones to name a few. We also announced changes to the earned and redemption rates for premium movie experiences which took effect November 4. That moves will now earn and redeem theme point based on the movie experience they choose with premium movies earning 50% more points and VIP movies earning 100% more points. Subsequent to quarter end, we announced a term extension to our agreement with Scotiabank for the SCENE program which will now run for more years until October 31, 2025. The extension also includes naming rights for two additional Scotiabank theaters bringing our total to 10 theaters into the Cineplex VIP Cinemas presented by Scotiabank and to Scotiabank’s annual commitment with Cineplex Media. We are delighted with our partnership with Scotiabank and are very pleased to continue to work together on this exciting and much-loved loyalty program. Now, let’s take a look at some of the films we have coming for the balance of the year. The fourth quarter is off to a strong start with The Martian, Hotel Transylvania 2, and The Intern. Spectre, the latest film in the James Bond franchise, and The Peanuts Movie both opened strong this past weekend. Looking ahead to the holiday season, a number of highly anticipated films are opening, including The Hunger Games Mockingjay Part 2 in 3D, which is the much-anticipated final installment in The Hunger Games series. On November 27 comes The Good Dinosaur, the latest 3D adventure from Disney Pixar, created with Sylvester Stallone, reprising his role as Rocky Balboa. On December 11, The Danish Girl opens starring Academy Award winner Eddie Redmayne in his most talked-about role to date. Mark your calendars for December 18 as this is the date that three much anticipated movies hit the screen, including Alvin and the Chipmunks Road Chip, the newest adventure of the beloved chipmunks, Sisters, a comedy starring Tina Fey and Amy Poehler and of course the most highly anticipated film in years, Star Wars Episode 7, The Force Awakens. This film has generated one of the highest demands for advance tickets for an opening weekend that we’ve ever seen in our history with still five weeks remaining. Everyone expects it to be one of the highest grossing movies of all time. On Christmas Day, there’s something for everyone including Joy, the latest from David O’Russell, starring Jennifer Lawrence and Bradley Cooper, Daddy’s Home starring Will Ferrell, and Concussion starring Will Smith. It’s easy to see why the fourth quarter of 2015 is expected to be one of the biggest quarters in our history. We believe we are well positioned to amplify on the strength of the film slate with our premium experiences, and also through our food services and media offerings. Outside of our theatres we will continue to diversify Cineplex, reducing our reliance on the cyclical nature of Hollywood film products, particularly through our digital media and amusement gaming businesses as well as the upcoming launches of The Rec Room and our first eSports tournament. Before I turn the call over to Gord, I thought I would comment on our test with Paramount Pictures for the films Paranormal Activity, The Ghost Dimension and Scouts Guide to the Zombie Apocalypse. As you know, Cineplex took part in a test to play both of these horror genre films. The objective was to work with our studio partners to see how a wide-release film would do when released for sale digitally earlier than the traditional theatrical window. In this case, the movies will be made available for sale 17 days after the films dip below 300 domestic theatres. In exchange for the shortened window, Cineplex and other participating exhibitors will receive a percentage of the studio’s digital revenue for the period the film is available for sale digitally through 90 days from its initial theatrical release. Revenues would be shared in proportion of our theoretical gross market share. From a box office’s perspective, the films opened weaker than we would have liked. However, the Canadian box office percentage of North America was 14.5% for the first week of Paranormal and 19.1% for the first week of Scouts. Because both movies are still in theatres, and the test is still in progress, it’s too early to say what the outcome will be. However, I do want to say that we respect and appreciative the innovative and collaborative approach in getting to this point. When all parties work together, we are more likely to find a positive solution. This step in no way changes Cineplex’s ongoing position that the theatrical window is an important part of the movie life cycle and is the engine that drives the train. Cineplex being the innovative company that we are, we will continue to work with our partners to maximize overall value with our guests in mind. Now, I’ll turn the call over to Gord.
Gord Nelson: Thanks, Ellis. I’m pleased to present the third quarter financial results for Cineplex Inc. For your further reference, our financial statements and MD&A have been filed on SEDAR this morning and are also available on our Investor Relations website at Cineplex.com. As Ellis mentioned, Cineplex reported all-time third quarter records for total revenue attendance, CPP and adjusted EBITDA. Cineplex’s third quarter box office revenue was $172.6 million, compared to $162.6 million in the prior year, as a result of an attendance increase of 7.6%. Our premium product percentage decreased to 34.5% of box office revenue in 2015 from 41.7% in 2014. The impact of premium priced product on the average ticket price was $0.79 for this quarter, as compared to $0.98 in the prior year, primarily due to a shift in film mix to children’s products, with a smaller percentage of premium product, particularly 3D consumed. Excluding premium product, our average ticket price increased 0.9% to $8.10 as compared to the prior year quarter. Food service revenue increased 14.5% to $105.5 million as a result of the 6.3% increase in concession revenue per patron to $5.43, an all-time third quarter record. The CPP growth was primarily a result of higher transaction values, as a result of expanded offerings, including those from Cineplex’s VIP Cinemas. Total media revenue increased $2.3 million or 7.2%, to $34.3 million for the quarter. Cineplex Media revenue, which is primarily theater-based, increased 11.4%. Cineplex Digital Media revenue decreased 2.7% due to lower project revenues as a result of the timing of project installations, partially offset by growth of new business opportunities including the TimsTV network deployment and the Oxford Property Group’s digital installations. As we have noted in the past, new client agreements typically have a long lead time and we’re pleased to announce recent agreement with A&W and are optimistic about our opportunities with other potential new clients. We were pleased to report our acquisition of 80% of the assets of World Gaming on September 17 and the acquisition of the remaining 50% of the equity of Cineplex Starburst Inc. on October 1. These eSports and amusement gaming assets will provide ongoing opportunities for growth, both within our theaters and beyond. With respect to the CSI acquisition, the remaining 50% was acquired for approximately $21 million and will be paid in the fourth quarter of 2015. Turning briefly to our key expense line items, film costs for the quarter came in at 53.1% of box office revenues compared to 52.6% reported in the prior year. Cost of food service for Q3 was 21.2%, as compared to 21.6% in the prior year. Other costs of $156.7 million increased $9.7 million, or 6.6%. Other costs include theatre occupancy expenses, other operating expenses, and general and administrative expenses. Theatre occupancy expenses were $51.2 million for the quarter, versus a prior year actual of $50.8 million. Other operating expenses were $89.8 million for the quarter versus a prior year actual of $83.7 million, an increase of $6.1 million. Major reasons for the increase include an increase of $1.8 million due to the impact of new and acquired theatres, net of disposed theatres. Higher same-store payroll of $2.9 million due to higher business volumes, as well as minimum wage increases in certain provinces and higher marketing costs of $1.5 million due to expenses incurred supporting film product for which Cineplex has distribution rights, as well as the timing of campaigns. G&A expenses were $15.7 million for the quarter, which was $3.2 million higher than the prior year, primarily due to a $1.8 million increase in long-term and short-term incentive program expenses, and a $1.4 million increase in professional and payroll. Interest expense of $5.9 million was $0.4 million higher than the prior year amount of $5.5 million, contributing to the increase of a $0.2 million increase in cash interest as a result of higher average borrowings on the revolving facility. The company recorded tax expense of $8.5 million during the third quarter of 2015, comprised substantially of current tax expense. Our blended federal and provincial statutory tax rate currently is 26.5%. The losses acquired on the AMC acquisition were fully utilized in 2014. Net CapEx for the third quarter was $25.6 million as compared to $32.9 million in the prior year. We continue to estimate that net CapEx will be approximately $100 million for 2015 and 2016. Record third quarter revenues contributed to our strong Q3 results. We continue to remain comfortable with where Cineplex Inc. is positioned today. Our strong balance sheet and low leverage ratio allows us to continue to invest in future growth opportunities for the company and benefit from future strong film products. That concludes our remarks for this morning and we would now like to turn the call over to the conference operator for questions.
Operator: [Operator Instructions] We’ll take our first question from Adam Shine of National Bank Financial.
Adam Shine: Maybe focusing on some of the new initiatives, Gord or Ellis, can you speak to in particular the World Gaming? And, Gord, maybe help us think about how we should be accounting for some of this, particularly as it relates to some of the incremental investments you’ve committed to making?
Gord Nelson: With respect to World Gaming, we’re excited to be probably one of the first globally to blend both online play and physical play in a mid-sized type location based strategy. As Ellis mentioned, we expect to announce our first tournament within the next several weeks. And what you will see in terms of how we generate revenue from these opportunities is there will be an online fee to enter the competition. There will be a ticket purchase to view the regional championships and national championships within the theatres. But one of the big opportunities relates to sponsorship and media-related revenue as brands, console manufacturers, game publishers look to reach the target demographic that is the gamer. So those are the majority of the revenue sources. As Ellis also mentioned, this is an opportunity that we believe we can take globally, given that we are the only player that combines both the location-based side of things as well as the online component of it. And with our ties to our global exhibitor peers and the interest that we have heard to date, this is something that we can take globally as an opportunity.
Adam Shine: Sorry, and the extra $5 million, is that something that’s going to creep into other theater OpEx context or will it flow through maybe CapEx?
Gord Nelson: The additional $5 million working capital contribution that we made is really to ensure that there’s enough funding out there to promote the tournaments, to do the remaining development that needs to be done to the online platform, to ensure that we have a successful platform that we can take globally. So primarily I would say OpEx and a smaller amount of CapEx.
Adam Shine: And just lastly, then, for Ellis, we’re heading into obviously as you alluded to the anticipated excitement around Star Wars. In the past we know that Lucas used to extract an incremental film cost stake, maybe something a little bit different within the Disney fold. But how should we look at film costs? I know obviously we get the usual splits, but the presumption would be that we might see something a bit more elevated than usual here? Maybe I’m wrong there?
Ellis Jacob: It all depends on the performance of the movie and based on how it’s going, this could end up being the largest movie that we have had in the circuit. And then one would expect to look back at some of the film costs when we released movies similar to this like Avatar and those other ones. So it depends on what percentage it forms of the total quarter, Adam, compared to the other movies and where it ends up grossing.
Operator: We’ll move to our next question from Rob Goff of Euro Pac. Please go ahead.
Rob Goff: And it’s another question on the World Gaming, perhaps could you give us a bit more perspective on how you might see this unfolding in terms of it being a league play or event play and just perhaps a bit more in terms of your timeline to rolling this out globally?
Gord Nelson: This will be primarily a league play, but the events will become extremely important. What I would expect that you would see is you would see the creation of Canadian Championship series based on a number of gaming titles that would take place throughout the course of the year. There would be a period of time where contestants and players would ladder up in an online competition and then you would – say two months of online play. And then laddering up into what would be regional and provincial championships, which would then take place in the theaters, culminating in a National Championship. So that’s really the structure of how these tournaments would play. With respect to taking this globally, obviously we would like to perfect the first one. In Canada, our first tournament, but there is a lot of interest from other exhibitors about taking something similar to their jurisdiction.
Operator: We’ll move to our next question from Kenric Tyghe of Raymond James.
Kenric Tyghe: I just can’t resist squeezing one more in here on the eSports. Looking at some of the stats out there, I have seen that League of Legends I think it was in 2014 had some 32-odd million people watching it, which is in excess of the Stanley Cup finals, if my memory serves. I’m trying to handicap the size of this opportunity. You see some discussion out there on it being on it being a $0.25 billion market today globally and expectations that inside of two years that market could more than double. I wonder if you could sort of speak to the sizing of the market and how you would look to index against that market, that market growth, certainly I think it’s a bigger opportunity than a lot of us in our generation can appreciate?
Gord Nelson: Kenric, look, I think we see the explosion in this market and we wanted to get in there early and that’s really why we invested in the company. But look, there’s a lot of noise out there about what we would call the professional series. So when you hear about 16,000 fans filling Madison Square Garden or the Staples Center in LA to come together to watch these tournaments, and then you put up some stats about which viewers, YouTube viewers, just viewing these games, and the explosion in the growth rates that we’re seeing in both online viewing and online playing. So that is really why we invested in it. I think as I have said earlier, there are few entities out there that are combining both the location-based element as well as the online element. And so we’ve staked our claim early and look to take advantage of the exploding market.
Kenric Tyghe: And then switching gears quickly, just in terms of pricing, looking at where premium content is as a percent of box office, how are you thinking about pricing going forward and perhaps the pricing model, certainly in the core product there hasn’t been much pricing taken in as long as I can remember. How are you thinking about that going forward or rather how should we be thinking about that in terms of dynamic pricing or other opportunities you may have to maximize box office revenues, or manage them rather, than maximize them, and keep that value proposition in play?
Ellis Jacob: We have undertaken a detailed pricing study and we’re looking at opportunities. As we’ve always said, we want to use pricing as our last resource unless we are offering that guest a premium experience of some kind. We’ve increased our AVX penetration, which is now one of the best in North America. We’ve got VIP, we’ve got 3D, we’ve got D-BOX. So there are a lot of different choices. And what we are going to do is we’re going to selectively and strategically look at where we can adjust the pricing on the base theaters. But at this point in time, we have been very cautious about that, because if you look at our results for the quarter, our attendance increased more than any of our peers in the US and our EBITDA was also a higher percentage increase, even though the box office wasn’t as high as some of the peers. So it’s all important to make sure that we focus on growing this business right across the spectrum, not just looking to raise ticket prices.
Gord Nelson: Just to add to Ellis’ point, we’ve spent probably the better part of a year with both, obviously our internal SCENE data, as well as customer behavior and actual ticket purchases. We spent a lot of time analyzing the elasticity of price, location by location, category by category. And we’re going to do something that’s kind of meaningful, disciplined and responsive to what we’re seeing based on the data we’ve looked at over the past number of years.
Operator: [Operator Instructions] And we’ll move to our next question from Aravinda Galappatthige of Canaccord Genuity. Please go ahead.
Aravinda Galappatthige: Ellis, I wonder if you can comment on a high level on the Canadian numbers so far, the box office numbers, obviously we came into a year with about a [indiscernible] given the low take, and we’re up somewhere around [indiscernible]. I just wanted to get your thoughts on that? I think it plays to the particular, much to the Canadian palate this year, or to other factors that you can think of?
Ellis Jacob: Aravinda, on a year-to-date basis we are slightly below where the US is. In the fourth quarter, when you look at where we are today compared to the US, Canada as of the past weekend is flat whereas the US is down over close to 7%. And it all varies depending on the product. For example, a movie like Spectre from Bond does strongly in Canada. But there are certain movies like we had in the third quarter, like Straight Out of Compton, we did well, but not to the percentages compared to some of the other movies out there. There was a movie call War Room, where Canada did less than 2% of North America. And in the third quarter last year, we also had a number of Quebec features that did well, Serial Weddings and 1987, and we didn’t have that same penetration in the third quarter of 2015. However, for the fourth quarter, I am pretty optimistic given the lineup of films that are coming. But again we are ahead of the pack, but it all depends on how product sways, depending on the genre and the demographics.
Aravinda Galappatthige: Just a quick one on VIP, I know that you guys are up to about 53, and it’s helping your CPP numbers really nicely as well. I don’t know if you’ve put a number out there in terms of what you think is sort of the capacity for VIP, any thoughts on that?
Ellis Jacob: We have 14 locations at the moment. And we feel that we can add a number to the major cities across the country, and we will be doing that over the next number of years. Plus when we do a new build in some of these theaters, we will include VIP and UltraAVX as part of that offering. So it’s something that we feel confident. We have built a great brand and people really love the experience, and we’ll continue to focus on it.
Operator: We’ll move to our next question from Haran Posner of RBC Capital Markets.
Haran Posner: Maybe just going back to sort of Aravinda’s big picture, and Ellis, back to you on box office. I guess when you look at some of the performance of films year-to-date, it seems like there has been greater variability versus expectations, both positive and negative. And I’m interested in your thoughts on whether you think that social media and the immediacy of reviews online could be having an impact there? And more importantly, do you think that maybe increases the bar in terms of quality for a movie to do well at the cinema?
Ellis Jacob: It’s a great question because I think it works both ways. When social media is there for you and the movie and the content is great, it really propels the box office. And the same is true when the movie is not good from a content perspective, then the social media hurts you. But overall, what it does is creates that buzz, which really increases the want to see for certain films. And you’re going to have this. We have had it for the last 20 years. There are going to be good movies and there are going to be not so great movies. And the people vote with their wallets when they come out to our theaters and we saw, like you said, in the summertime we had some, really hit some records with the movies that were out there, all of the way from Furious 7 to The Minions, Avengers. We had a whole bunch of great films. But again we also had films that didn’t quite do it, like Paper Towns, Fantastic Four, Pixels was good but not as great as we expected, Terminator the same thing. So you’re going to have a mix of great movies and movies that won’t perform. So it’s surprising ones that are great for us and when that happens, it’s awesome.
Haran Posner: Maybe just a related question. Gord, you have mentioned earlier just the amount of analysis that you have put into the SCENE data. I think that you guys have a pretty unique view of attendance trends by demographic. Is there anything that sort of in the last year or two that you have noticed that is either a concern or an opportunity in terms of changes in attendance trends?
Ellis Jacob: I think, Haran, one of the things that we continue to look at is the bottom line when you look at the SCENE data; it’s very, very product-driven. And we do see that the 50-plus demographic are looking for more films to watch and a lot of times through the summer, there just aren’t enough of those kinds of movies. That’s why movies like The Intern end up doing really well, because people are really yearning to watch those films. So I think as Hollywood continues to build out their portfolio of movies, it’s not only all about the blockbusters, it’s about appealing to the different demographics. And I think that’s really what we are finding out from our SCENE data.
Haran Posner: Just if I may one last one easier question. Gord, just with respect to EK3 and the earn-out, if I remember correctly I think there’s a maximum of $38 million or so that you could pay early next year. Maybe just in terms of where we’re tracking today, would you imagine that number is significantly lower than that?
Gord Nelson: Well, look, obviously we review that number in each quarter, because we are accreting that in our financial statements. So as of the end of the third quarter, that number is fully accrued. As I said, the sales process has a very long lead time. We’re happy to announce the A&W agreement and that we’re involved in a number of other discussions. And we hope to share some good news in the near future. But we have fully accrued that, earned that amount.
Operator: We’ll move to our next question from Rob Peters of Credit Suisse. Please go ahead.
Rob Peters: I was just wondering, jumping back to the eSports for a second, correct me if I’m wrong, but I think in the MD&A I read that it hadn’t really generated any revenue even if it had been acquired at the start of this year, and I’m just wondering if there’s a different approach that you’re taking versus how it was operating before that we can kind of see how that’s going to generate more revenue for you guys going forward?
Gord Nelson: Yes, absolutely. And when we looked at acquiring the assets of WG, they were in the process of transitioning their business model away from what was more the small group competitions to looking to create what I have described as an online culminating in a location-based tournament-type play. So they had been transitioning the business model, investing in developing the R&D and the software to run the new model that I have described to you. So that’s really why you have got through this transition. What they have done historically is not really representative of the new business model that we’re going to run.
Rob Peters: Maybe just a follow-up, I think we’ve seen some great success in terms of the draw that some of these online gaming events can have. And they do seem to be somewhat genre-specific, at least the type of games that have the big draw. Is there any ones that WG specializes in?
Gord Nelson: I think once we start announcing some of these events, you’ll see what’s going to happen in the near future.
Operator: [Operator Instructions] We’ll move to our next question from Paul Steep of Scotia Capital. Please go ahead.
Paul Steep: I guess maybe talk a little bit about the media trending in the quarter? It seems like the auto vertical drove back harder than might have been expected. What are you seeing as we head into Q4 in terms of the pacings and the linearity over the quarter given the back end weighting with Star Wars?
Gord Nelson: Yes [indiscernible] that you have got the titles that are as appealing as Star Wars and the expectation of the strength of the Q4 box office, that’s going to help your media business. So it’s been a strong year to date. Q3 was still strong. It wasn’t as strong as the first half. But we have lots of confidence on where the business is going to be in the fourth quarter.
Paul Steep: One final one from me. Maybe you could comment just a little bit, we’ve talked about VIP and the roll-outs in the past. What’s the utilization level looking like in VIP relative to the main line theater? And I guess where I’m thinking about this, is there further opportunity for CPP to raise as utilization and VIP grows or is it fairly comparable to the main line theaters?
Ellis Jacob: VIP’s utilization is extremely strong. For example, this past weekend with the Bond opening, utilization was over 60%. So it has lots of traction. It is driven by certain movies, but people love it. They spend more time there and they enjoy the environment, and also participating in the food offerings.
Paul Steep: How much room do you think there is, Ellis, to lift that even further? Like, that’s already a great number. But is there room to lift that even more?
Ellis Jacob: As we continue to refine the offering, I think we will continue to raise the bar and actually increase the total out of pocket spend by our guests that come to the theatres, especially in the area of the concessions for patrons, where we keep looking at the menu and our offerings, and seeing what we can do to adjust it, to make it better for the guest, and better overall from a return for Cineplex.
Operator: Our next question comes from the line of Derek Lessard of TD Securities.
Derek Lessard: I was just wondering if you could maybe add some color on the deployment of the A&W TV network, things like the roll-out schedule. And maybe as a follow-up to that, do you have the ability or even the manpower to have more than one of these big roll-outs going at the same time?
Gord Nelson: I think with respect to the A&W roll-out, we have been rolling out typically, as I mentioned, it’s a long lead time. As part of signing the final agreement, we’re going to do some pilot testings and some fairly expensive pilot testing. So we have been rolling out. And look, certain clients have deployed extremely quickly across the country and we’re able to handle that. We have not had issues in the past. And we continue to look at sort of the infrastructure that we have, and that we need to support new business going forward. So we’re comfortable. We’ve got the flexibility and we’ve got the infrastructure that can be put in place to handle large volumes of deployments.
Derek Lessard: So A&W, we expect it to be completed by...
Gord Nelson: It will take, like I said, usually large-scale deployments take at least a year. So I would say you’re going to say over a two-year period.
Operator: [Operator Instructions] There are no further questions on the phone lines at this time. I would like to turn the call over to Mr. Ellis Jacob.
Ellis Jacob: Thank you all for joining us this morning. We look forward to speaking with you again in our year-end conference call in early February. We hope to see you in our theaters over the holidays and may the force be with you.
Operator: Thank you. Ladies and gentlemen, this does conclude your conference call for today. We thank you for your participation. You may now disconnect your lines and have a great day.